Operator: Good morning. My name is Lisa, and I will be your conference operator today. At this time, I'd like to welcome everyone to the Terex Corporation’s Second Quarter 2019 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Brian Henry, Senior Vice President of Business Development and Investor Relations, you may begin your conference.
Brian Henry: Good morning everyone, and thank you for participating in today's second quarter 2019 financial results conference call. Participating on today's call are John Garrison, Chairman and Chief Executive Officer; and John Sheehan, Senior Vice President and Chief Financial Officer. Following the prepared remarks, we will conduct a question-and-answer session. We've released our second quarter 2019 results, a copy of which is available on terex.com. Today's call is being webcast and is accompanied by a slide presentation, which includes a reconciliation of GAAP to non-GAAP financial measures that we will use during this call and is also available on our website. All adjusted per share amounts in the presentation are on a fully diluted basis. We will post the replay of this call on the Terex website under Events and Presentations in the Investor Relations section. Let me direct your attention to Slide 2, which is our forward-looking statement and description of non-GAAP financial measures. We encourage you to read this, as well as other items in our disclosures, because the information we will be discussing today does include forward-looking material. With that, please turn to Slide 3, and I'll turn it over to John Garrison.
John Garrison: Good morning and thank you for joining us and for your interest in Terex. First, I want to thank our global team for their intent focus on creating zero harm safety culture delivering value for our customers and their commitment to implementing our strategy. Terex continued to grow in the second quarter. Global demand for our leading products and services remained stable and we continued to meet the needs of our diverse customer base. MP continued its excellent operating performances increasing sales and expanding operating margins again in the second quarter. They achieved strong growth across their global portfolio. AWP markets in North America have moderated slightly, but remained at healthy levels. In Europe demand is being impacted by the overall economic environment leading to cautious customer sentiment. We continue to see strong growth in the Asia Pacific region including China. As John will discuss in more depth, AWP operating margins in the quarter did not meet our expectations. Margins were impacted by the weak euro, our decisions of lower production to better align global inventory levels with demand and product mix. I was extremely pleased with our free cash flow performance as we generated a $168 million in the quarter, more than double last year’s Q2 results. This strong cash generation performance reflects our global team’s continuing focus on improving working capital efficiency. Our improving financial results with adjusted operating margins greater than 10% and adjusted EPS increasing 23% in what we presented in our Q2 earnings release in July 2018 demonstrates the financial improvements we’re realizing like focusing our portfolio and implementing our strategy. Turning to Slide 4, we continued to implement our strategy, the focus of portfolio on great businesses, simplify the organization and enhance the capabilities needed to win in the market place. A foundational element of our execute to win businesses is the annual business strategy we use. Over the past several weeks I’ve met with the leadership teams of each of our businesses for comprehensive, multi-day reviews on their strategic plans. These reviews ensure our investment priorities are aligned with the growth potential in our global market. In developed markets we expect industrial and non-residential construction demand including the need for infrastructure investment and the size and age of the fleet to drive medium and longer term growth. Looking at the developing markets, we expect economic growth and adoption of more advanced mobile equipment to fuel growth over our planning horizon. We’re making strategic investments in production capacity and product and service innovation to ensure we capitalize on broad base growth potential. Turning to Slide 5, we continue to make progress implementing our strategy. The sale of Demag Mobile Crane is expected to close in the coming days. We will execute our plans to ensure smooth transition for our customers and team members to Tadano. We remain committed to the Rough Terrain and Tower Crane product-lines in North America and around the world. We’ve implemented a new sales and service organization in North America and are investing in our capabilities to support our customers into the future. We continue to simplify Terex, the transition to a more focused two segment structure combined with the significant progress we made improving processes, tools and leadership talent in our priority areas enable us to refine our corporate operating model. Each functional area is implementing plans to continue to deliver essential services in an efficient and cost effective manner that reduces operating expenses. Implementation will continue into the second half of 2019. We continue to execute the organic growth element of our disciplined capital allocation strategy by investing in innovative products and services in global manufacturing capability. The new utilities manufacturing facility in South Dakota remains on schedule and within budget. MP's capacity expansions in India and Northern Ireland also remain on track. These investments enable simplification, improve manufacturing productivity and growth. We continue to invest on our Execute to Win priority areas. Our commercial organizations operate with more process discipline enabled by investments in training and systems. Our lifecycle solution strategy is taking shape. We have a world-class leadership team in place and we'll be making investments to dramatically increase our share in the growing markets for parts, services and related opportunities. Finally on strategic sourcing, teams in each of our manufacturing facilities are implementing their Wave 1 savings. Wave 2 savings are starting to be realized as certain opportunities are being fast-tracked while other savings plans are being developed. Based upon AWP's lower production levels and spend forecasts, we expect savings of approximately $30 million this year. Turning to slide 6, based on our first half performance and changes to the outlook in AWP for the balance of 2019, including lower than previously expected sales growth, reduced production volume, adverse foreign exchange and product mix, we expect full-year EPS to be between $3.40 and $3.86 on net sales of approximately $4.6 billion. We continue to focus on working capital and improving cash flow and we are reaffirming our free cash flow guidance of approximately $165 million. With that let me turn it over to John.
John Sheehan: Thanks John. Let me begin by reviewing our Q2 segment highlights. AWP sales totaled $870 million in the quarter up about 5% on an FX neutral basis. Sales in North America were steady and volume in EMEA was down modestly. We increased sales in Asia including China driven by market growth and increased product adoption. AWP's operating margin in the quarter was lower than we expected and impacted by several headwinds. First, a relatively weak Euro which declined 7% versus the U.S. dollar compared to W2 last year, which translated to slightly over $6 million of operating profit headwind. As we have discussed in the past, a weak Euro pressured AWP margins in Europe as a large portion of the products sold in the region is produced in North America and China. Margins were also impacted by lower factory overhead absorption resulting from our decision to reduce production to better align global inventory levels with demand. Global AWP production volume in Q2, 2019 was approximately 20% lower than Q2, 2018. And lastly, while overall sales were steady compared to last year, the mix of sales was due to tele handlers which also impacted AWP margins in the quarter. Backlog was stable at approximately $750 million and bookings were similar to last year, up modestly on an FX neutral basis. Materials processing continued its strong performance achieving another excellent quarter. Sales were $365 million up 9% or up 13% on an FX neutral basis driven by continued strong global demand for crushing and screening products, material handlers and Pick & Carry Cranes. The MP team delivered a very strong operating margin of 15.4% representing an expansion of 220 basis points generating 27% more operating profit than the prior year quarter. These results were driven by improved operating performance across the portfolio and effective price cost management. The British pound to U.S. dollar exchange rate provided a modest tailwind to MP margins in the quarter. Backlog of $364 million is consistent with our full-year outlook. MP is well positioned across its portfolio of businesses to continue to deliver excellent results. The Rough Terrain and Tower Crane businesses that are reported in corporate continued to perform in line with expectations in Q2. Let's turn to Slide 8 to review our consolidated results. Total sales of $1.3 billion were up 4% or up approximately 8% on an FX neutral basis. The currency, production and mixed headwinds that impacted AWP margins were partially offset by the strong performance in MP and reductions in corporate expenses leading to an overall adjusted operating margin of 10.1%. Investment in our Execute to Win initiatives and restructuring related charges were the primary differences between our as reported and as adjusted operating profit. Net interest expense increased approximately $7 million year-over-year resulting from increased borrowing and higher interest rates on floating rate facilities. On an adjusted basis we generated earnings per share of a $1.21. While this quarter’s EPS was lower than the prior year quarter on a comparative basis, the result is 23% better than the $0.98 per share as adjusted EPS we presented in Q2, 2018 demonstrating the benefits of our strategy execution. Turning to slide 9, we continue to deliver on our commitment to follow a disciplined capital allocation strategy. I was proud of our global teams' focus on improving working capital and free cash flow performance in the second quarter. We generated a $168 million more than double last year and more than double our net income in the quarter. We reduced inventory by $92 million since March. However, we continue to hold more than the prior year. As I mentioned earlier, we adjusted production rate down significantly in AWP and expect inventory levels to continue to normalize during the second half of the year. In addition to free cash flow, we are generating cash through our portfolio actions. The sales of Demag Mobile Cranes and our shares of ASV are expected to generate approximately $150 million in cash proceeds in Q3. As of June 30, our net debt to adjusted EBITDA ratio was a healthy 2.0x down from 2.4x at March 31. We expect our net leverage ratio to decline further in the second half of the year. We continue to invest in our Execute to Win priority areas. Although the level of investment will taper off during the second half of 2019 as our internal capabilities continue to mature. Looking at return on invested capital, for the second consecutive quarter we achieved a greater than 20% return on invested capital. The Terex team has and will continue to generate shareholder value through the execution of our disciplined capital allocation strategy. Turning to our full-year financial guidance on Page 10. Based on our actual performance in the first two quarters and outlook for the second half of 2019, we are updating our guidance for the full year. We now expect full year 2019 sales to grow between 1% and 3% to a midpoint of approximately $4.6 billion. Our operating margin outlook is now 8.8% to 9.3%, and our EPS guidance range has been updated to $3.40 to $3.80 per share. We are reaffirming our full-year free cash flow guidance of a $165 million. From a segment perspective, we expect overall AWP performance in the second half of 2019 to be similar to the second half of last year from a revenue and margin perspective. The lower than previously expected sales and production volume, and adverse foreign exchange rate and product mix implies a full year outlook for a stable top-line with operating margins between 9% and 9.5%. A significant driver of this operating performance update is the Euro-Dollar exchange rate which is an approximately $30 million negative impact for the full year 2019. We expect MP to continue its strong operating performance. We are increasing full-year guidance to sales growth of between 4% and 7% and operating margin of 14% to 14.5%. MP operates several facilities in the UK. Our guidance range assumes there are no major disruptions associated with Brexit. We continue to monitor events as the Brexit process unfolds. Finally, we anticipate the distribution of the remainder of our 2019 earnings per share to be approximately 55% in Q3 and 45% in Q4. And with that I'll turn it back to you John.
John Garrison: Thank you, John. Turning to Slide 11, I'll review our segments starting with AWP. The overall global market for AWP is moderating, but remains at a healthy level. The North American rental customers are maintaining a generally positive outlook and continue to be disciplined in their fleet management based on utilization and rate expectations and the North American utility market remains strong. We are seeing overall demand to moderate in Europe. AWP continues to grow in the Asia-Pacific region fueled by increasing product adoption. We are providing Asian customers with a winning value proposition, advanced products, lifecycle parts and service and tailored financing solutions. We continue to expect strong long-term growth in the Asia-Pacific region. Overall bookings in the quarter were similar to last year, up slightly on an FX neutral basis. A key to improving margins in AWP is the execution of our strategic sourcing plan including transitioning significant volume to new suppliers. We deployed Wave 1 implementation teams in each of our manufacturing facilities and the transition of new suppliers is going well. Wave 2 savings plans are also taking shape as the global demand and supply dynamics normalize. We're seeing more opportunities to fast-track savings. We're working with several incumbent suppliers to generate savings that we expect to ramp up in the fourth quarter of 2019 and into 2020. We'll change some suppliers in Wave 2, but to a lesser extent than Wave 1. As I mentioned, our full year 2019 savings is now expected to be approximately $30 million given our lower production levels and spend forecast. Most of these savings are in AWP. The rollout of our Genie, Lift Connect Telematics Solution is going well. Using advanced diagnostics, the system can alert customers to performance issues, help optimize maintenance and increase our participation in the lifecycle economics of the equipment. From a customer's perspective, Lift Connect helps increase operator safety, improve rental revenue and reduce maintenance cost. Genie has a robust product development pipeline and will continue to fill out our extra capacity line and launch a series of products over the coming months and years that address specific customer needs and differentiate Genie in the markets around the world. Turning the Terex Utilities. The team continues to execute well in a strong market. Construction of the new state-of-the-art production facility remains on track; this is an important investment for Terex. It will improve our position in utility equipment market that has considerable growth potential in North America and in developing markets. The new site will increase capacity and significantly improve productivity. Both our Aerials and Utilities businesses are well positioned in their respective markets and are implementing strategic plans to grow and expand margins over the medium and longer-term planning horizons. Turning to MP. Materials processing is a high-performing segment that delivers strong results and consistently meets its commitment. Global demand for crushing and screening equipment is generally stable at healthy levels. Construction activity, aggregate consumption and environmental regulatory change are the main drivers. The global market for material handlers remain supportive. However, we are seeing a degree of caution in the end markets in North America and Europe for both of these product categories. Our cement mixture truck business in the United States is stable. And our Pick & Carry crane business continues to execute well. The value proposition of our material processing equipment extends beyond its traditional processing and screening application in an environmental application and our global environmental business continues to grow. The picture on the slide shows an EVOQUIP Crusher Processing material at our new MP site in the UK. The material from the excavation was processed onsite and is used as the base layer to expand and strengthen the local road. Not only this reduces the cost of excavation of road construction, but it kept 650 cubic liters of materials from being transported to a landfill. During our strategy review, we discussed MP significant growth potential in environmental and across its product range in developing markets as customers are just starting to appreciate the benefit of highly efficient mobile equipment. We will continue to make strategic investments to enable growth and materials processing. MP also continues to make progress on the digital front. Users from around the world recently attended the Para Screen’s digital dealer forums in Ireland and Chicago. The MP team showcased its vision for the fully enabled dealer of the future. The emerging technology enabled best-in-class lifecycle solutions including closer connections to end customers to improve uptime and overall customer experience. Reactions to the forums were quite positive and dealers believe these tools will differentiate us in the marketplace. I expect the global MP team to continue to execute at a high level and deliver on its plans again this year. Turing to Slide 13 to wrap up our prepared remarks. Our global team continues to work hard to improve execution and meet the needs of our customer. We are implementing our strategic plan to focus the portfolio on high performing businesses, simplify the organization and enhance capabilities in our Execute the Win priority areas. We expect to significantly improve our financial performance again in 2019, including generating approximately $165 million of free cash flow. We are confident in achieving our 2020 objectives of 10% operating margin and greater than 20% ROIC. Finally, we will continue to follow our disciplined capital allocation strategy while investing in future growth and creating additional value for our shareholders. With that let me turn it back to Brian.
Brian Henry: Thanks John. As a remainder, during the question-and-answer session we ask you to limit your questions to one and a follow-up to ensure we have time to get to everyone. With that I would like to open it up for questions. Operator?
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Jamie Cook from Credit Suisse. Your line is open.
Jamie Cook: Good morning. I guess a couple questions.
John Garrison: Good morning, Jamie.
Jamie Cook: Good morning. Specifically on aerials, you talked about cutting production in the second quarter I think 20%. What are your assumptions specifically in the back half of the year and then if you could help us understand your assumptions to get to your margins in the back half of the year, whether its currency, price, cost, production mix just so we get comfortable there? And then, I guess my second question, in 2020 talked about your ability to achieve your goals. I mean, at this point is it more driven by materials processing versus aerials and can you grow your aerial margins in 2020 assuming a flat market like what would be the tariff specific drivers behind that outside of the market? Thank you.
John Garrison: Thanks Jamie. Couple questions here, so we'll try to tick them off. Let's start with the first, the margin and the margin guidance. As we indicated in our comments, we did see demand moderating, but overall demand in the AWP and aerials remains at a healthy level but it is not growing at our previously anticipated rate. So we did make the decision to reduce production volumes to better align our inventory with global demand which did contribute to our margin performance in the quarter and on the positive side did contribute to our positive cash flow for the quarter. In terms of production, I'll have Duffy talk in greater detail on the margins, but in terms of production Jamie, I think it's important to put in context is, remember at the end of last year Q3 and Q4, we did produce at a higher level frankly above global demand say roughly 10% and that really was to maintain continuity in a tight labor market and we did build up the inventory to prepare for what we expected to be modest growth rates this year. This year we made the decision in the quarter that we're going to under produce to global demand again roughly around 10% and if you think about our normal production schedules, it's normally seasonal productions lower in the second half. So what we basically did is accelerated that lower production into the second quarter and we will produce at lower levels in Q3 and Q4 than we did in 2019. And again, our plan is to reduce inventory over the second half and we expect it to be aligned with the demand by year end. So John can you cover in greater detail the margin guidance?
John Sheehan: Sure. Thanks. So Jamie, as it relates to the guidance and the AWP assumptions, the biggest impact, the biggest headwind that we have been facing throughout 2019 for AWP has been foreign currency rates specifically the Euro-Dollar exchange rates. I talked in my comments that we are seeing a $30 million impact versus our original guidance. If you go back to when we prepared our annual plan during the fourth quarter of 2019 and looking at forward currency rates at that time, the forward curve for the Euro-Dollar was in the 122 range and we have seen a constant deterioration of that forward curve here over the last six, nine months. That caused us to move our assumption with respect to the Euro-Dollar exchange rate for the full year 2019 down to a $1.12 and that's what's driving the most significant impact to us as I talked about in my remarks we do ship a significant amount of our products for the European market from the United States and from China into the European Union. In terms of production volumes in the second half of 2019 for AWP, as we continue to align our inventory with global demand, we would expect that the production levels in AWP would be similar to what we saw year-over-year production levels for AWP would be similar to what we saw for the second year this year. And that is built into the guidance that we provided. We have been seeing a higher proportion of tele handler sales in our product mix for 2019. As you know or we have talked about the margin profile for tele handlers is different than for booms and scissors and again that higher tele hander sales is built into the guidance that we are providing. And then lastly, we also talked about the strategic sourcing savings and with the production levels for AWP being lower that we had reduced modestly from $35 million down to $30 million the amount of strategic sourcing savings that we would be realizing in 2019 and most of that savings is in the back half of 2019. So hopefully that's a good run through the principal assumptions that go into the guidance that we are providing for AWP today.
Jamie Cook: Thank you. And sorry, just a follow-up on 2020. I mean, you guys sort of reiterated your confidence while we're getting to the 10% or above, is that more driven by material processing and Aerials improved their margins and flat market in 2020?
John Sheehan: Thanks, Jamie. On the second part of the question. In terms of AWP or Aerials driving margin improvement on flat volume, yes, that would be our expectation principally driven by our strategic source and savings. Again we're anticipating about $30 million this year, again that's back end loaded that will run into next year. And then, overall we expected in the $70 million to $75 million range for 2020 as we get full implementation of Wave 1 and begin implementation of Wave 2. So, margin expansion on flat volumes would be our expectation when we execute our strategic source and savings.
Jamie Cook: Okay, thank you.
John Garrison: I would just add thought that just first part of your question Jamie, right, materials for our processing has been a consistently strong executor for us these on the first half of the year. Their sales up 9% and the operating margin with a 220 bip improvement year-over-year. So, MP is becoming an increasingly more important part of our overall portfolio and will also be a contributor to successful 2020.
Jamie Cook: Thank you.
John Garrison: Thank you, Jamie.
Operator: Our next question comes from the line of Steven Fisher from UBS. You line is open.
Steven Fisher: Thanks, good morning guys.
John Garrison: Good morning, Steven.
Steven Fisher: I wonder if you could -- good morning, John. What if you could just offer a little bit more color on what really changed in your view the market dynamics over the last three months because it was a fairly abrupt change to go from producing more now under producing. So, it was it more what you saw in Europe, was it more in North America, I think you cited industrial markets but just talk a little bit about where the duration was, was it how weather impacted, would be helpful, thanks.
John Garrison: Thanks Steven, will do. So, in terms of Aerial, the North American rental channel outlook remains positive. Customers believe that they've got good visibility as they go forward. They are being very disciplined in their CapEx, in our CapEx plans closely monitoring their utilization rates and rental rates. So, I would say in North America, highly disciplined and basically it didn’t grow at the rate but it's just some slight modest decline and I would we're characterizing as frankly as relatively stable. But the customer base which I think is going to be good for the industry is being very disciplined around their CapEx. We, our drop off was in Europe. We did see a decline a moderation in Western Europe and that is being impacted by cautious customer sentiment and principally what's transpiring on the continent and then Brexit related activity. So, clearly for us Europe was a disappointment in terms of the volume in our expected forecast for the year. Offsetting that to some extent which we continue to see strong growth in the Asia Pacific in China region up almost 40% and again that secular to federal growth trends of adoption. So, we think that's intact, we continue to see strong growth. And so, we look at the back half of this year, we expected to kind of be similar to the back half of last year as we looked for the second half of this year.
Steven Fisher: Okay, that's helpful. And then, cash flow has been one of the elements of your strategic plans where you feel you still have some work to do to achieve your goals. Where do you stand on the operational element of trying to improve your cash flow, obviously we saw the result in the quarter but maybe not from operational type things?
John Garrison: So, I'll go ahead and have Duffy respond on the free cash flow. Again, we were pleased with our free cash flow generation in the quarter. With that said, I always believe that there's hardly sort of room for continuous improvement which we will continue to do and networking capital improvement is a focus that we have at the management team. Duffy, you want to comment on the cash flow?
John Sheehan: Sure. Well, I guess I would say the following that when you look at the free cash flow generation in the quarter at a $168 million. I would attribute that to be operationally driven very strong collection of receivables in the quarter as well as driving down the inventory levels in AWP which generated free cash flow. When you look at the reiteration or the reaffirming of our full-year guidance of free cash flow of a $165 million for 2019 that means that we're going to generate $250 million of free cash flow in the second half of this year. That's really being driven by two operational factors. First is that with the disposition of our mobile cranes businesses which were a significant user of cash. We will see much greater much less cash usage from the mobile cranes businesses. And then number two, we will drive down operationally the inventory levels of AWP significantly in the second half of the year and that will drive significant cash flow. So, that we're fully committed to achieving a $165 million of free cash flow in 2019. And we just add on top of that that as I talked about in my prepared remarks that on top of that in the second half of the year specifically in the third quarter, we'll generate a $150 million of cash flow or liquidity from the sale of our Demag business as well as the sale of our shares of ASV. So, we have liquidity of $400 million coming in the second half of the year. So, I want to assure you that we are absolutely focused as a leadership team and as a total company in the operational needs of generating free cash flow.
Steven Fisher: Got it, thanks a lot.
John Sheehan: Thanks, Steven.
Operator: Our next question comes from the line of Ann Duignan from JP Morgan. Your line is open.
Ann Duignan: That's the first, am I heard that loud I mean but anyway.
John Garrison: Good morning, Ann.
Ann Duignan: Good morning. I just wonder sort of back on the free cash flow. I mean, you generated a $168 million in Q2 but a $165 million for the full-year. At what am I missing, am I missing Q1 or something, just simply?
John Sheehan: Yes. Sorry for interrupting, Ann Duignan.
Ann Duignan: All right.
John Sheehan: So, we -- I'm just kidding. So, we I have to have to bring it up but just a recollection that we had a significantly negative free cash flow in the first quarter as we paying for inventories that we built during the fourth quarter and paid for in the very beginning parts of 2019. So, our free cash flow generation for the first half of the year is a negative $88 million and that gets you to then the $250 million for the second half of the year to get to the full-year of $165 million. And we're absolutely committed to generating that $165 million plus the $150 million from the Demag proceeds and sales of ASV for $400 million of liquidity in the second half of this year.
Ann Duignan: Okay, thank you. I should have known that, myself apologize.
John Sheehan: No issue, Ann.
Ann Duignan: And then secondly, my -- yes my first question is the mix on Telehandler is I mean why was the surprise in the quarter, I mean you have a backlog coming into the quarter. Why wouldn’t you have known that the mix was going to swing towards Telehandler's in Q2?
John Sheehan: Yes. I would say Ann, that we have seen a continued level of strength at Telehandler's. We certainly did expect some level of elevated Telehandler sales. I'd say they're even more elevated than we had anticipated and we've extended out through the year the period of time when we saw that elevated Telehandler sales would continue. So, that -- but as I think I talked about in relation to our guidance that when you look at the principle factors that are driving the guidance change, there really the Euro Dollar exchange rate headwind, the production volume reductions for manufacturing. And then, lastly the lower sales growth than we anticipated. The Telehandler in the strategic sourcing points that I made are lesser factors.
Ann Duignan: Okay, I appreciate it. I'd leave it, most of my other questions have been answered.
John Sheehan: Thanks, Ann.
John Garrison: Thank you, Ann.
Ann Duignan: Thanks.
Operator: Our next question comes from the line of Steven Volkmann from Jeffries. Your line is open.
Steven Volkmann: Hi, good morning guys.
John Garrison: Good morning, Steven.
Steven Volkmann: Can I just maybe I have my numbers wrong but it looked like you actually didn’t change your full-year free cash flow expectations. I guess I would have assumed it be a little higher with the inventory reduction?
John Sheehan: No, you are correct that we did not change our full-year free cash flow expectation. The when in our Q1 call, we did talk about the fact that we expected to be free cash flow positive in the first the next three quarters of the year. And then, we expect it to be meaningful, I -- the word I used was "meaningfully" free cash flow positive in the second quarter. So well, certainly I will give our team kudos for a really strong quarter. In cash flow, I'd say it that it's not above the full-year expectation for what we expect to do. So, at the moment we're maintaining our commitment to a $165 million of positive free cash flow for the year.
Steven Volkmann: Okay, all right thanks. And then, I guess just when you think about the liquidity that you just mentioned, it sounds like you're going to pay down some debt if you're going to have a better net debt leverage ratio at year-end and I guess it looks like your stock may break $30 today if the pre-market's correct. I guess I'm just curious why wouldn’t see that as maybe a better use of cash.
John Garrison: Thanks, Steven. We will we've been rigorous in following our disciplined capital allocation strategy. So, we will continue to do that, we do have $200 million remaining on our previously announced share repurchase program. We do believe that share repurchase especially Boulevard's you mentioned is a good use of our cash in a good investment. And so, we will give considerations of that but it's as Duffy indicated, we do want to reduce our leverage with the initial proceeds. So, we're committed to creating long-term shareholder value through our just one capital allocation strategy. And again, we have room on our share repurchase program to purchase shares.
Steven Volkmann: Okay, fair enough. I'll pass it on, thanks.
John Garrison: Thanks, Steven.
Operator: Our next question comes from the line of David Raso from Evercore ISI. Your line is open.
David Raso: Hi, thank you. I'm just trying to drill down on the inventory reduction.
John Garrison: Good morning, David.
David Raso: Hi, good morning. I'm trying to drill down to the inventory reduction in AWP for the year now. Can you give us a better sense of the inventory draw expected from the end of '18 to the end of '19 now?
John Sheehan: So David, we would expect that the ending finished good -- let me start a little differently, I apologize. So, you recall that at the end of last year, we had built significant inventories in AWP and that we had about $600 million of inventory at the end for AWP at the end of 2018. And our plans would be that we would reduce that inventory by down to about $400 million or $200 million lower at the end of 2019 versus 2018.
David Raso: And has that number not changed? So, basically the inventory reduction is as previously explained?
John Sheehan: We've achieved about half of that reduction already, David, through the first half of the year.
David Raso: I appreciate, that I was just trying to digest, have we looked at the market, thought about where the year could end or go into '20 and decided to take more inventory out and is the issue in a way maybe the market weakened a bit. So, we're still the $400 million target, it's just the market weakened a bit, right. So, is that the way to think about it, there isn’t a lower inventory target now, it's just the adjustment for the end demand, is that a fair --?
John Garrison: Yes, I think David, that's a fair assessment. Again slight weakening in North America, we did see a reduction in Europe, strengthen Asia-Pacific, but net-net, a moderation and demand again still at healthy levels and we believe looking at our 2020 forecast and outlook that historically we've operated closer to that $400 million of inventory rage and we think that's a good place for us to be as we go forward. And again, and I'd encouraged investors to look, we did publish in August last year kind of a long term industry outlook on our investor website. So I want to be clear, I'm not providing guidance David for 2020 today, but when you look at what we said then, we anticipated 2019 to be up slightly and it's turning out that it's flat it is basically what we're calling now. At that time, we said 2020 would be flat to slightly down. We're not going to change that at this point in time and we said 2021 and beyond is the replacement cycle kicks in that you'd see potential substantial growth in the replacement cycle coupled with what we expect to continue to see strong growth in the Asia-Pacific, China region with adoption. So we're not changing our longer-term outlook. It's just with the level of inventory, we had slight moderation and demand and the fact that we did produce, again we produced at a higher level last year with the conscious decision to maintain continuity and a tight labor market and we just decided we needed to adjust that. So unfortunately, we have to produce at lower than the demand forecast to bring our inventory levels down in line with what we're looking for.
David Raso: So as a framework then, we can look at that 400 million as a number you're generally comfortable with a flattish environment in 2020? I assume that's -
John Garrison: I think that's, right now David, what I provided in 2020 guidance I think that's a good assumption. It's a good operating assumption.
David Raso: No, I appreciate that. Really appreciate your help. Thank you.
John Garrison: Thank you, David.
Operator: Our next question comes from the line of Seth Weber from RBC Capital Markets. Your line is open.
Seth Weber: Good morning.
John Garrison: Good morning, Seth.
Seth Weber: Good morning. I just wanted to go back to the kind of slight moderation in North America rental comment for a second. Trying to better understand that because in the first quarter call you talked about March orders actually being better and so can you characterize what happened, was it the large nationals canceling or pushing orders out or just you're not seeing the pickup from the independents or the smaller regional guys, is there any way you could you could frame kind of that softening for us?
John Garrison: Yes. I'll try to put it this way; I would say the word that we use is being very disciplined around CapEx. The National Accounts clearly are, but we're also seeing it in the independent, where they're paying very close attention to their utilization and their rental rates and they're modifying their CapEx in the short term around how their utilization and rental rates are flowing and so we have seen push outs. We have not seen cancellations necessarily, but we have seen push outs of demand and indications that their back half expectations weren't as high as they're originally started in the year. So in our SIOP process, the sales forecast, we said that in and then the team made the management decision that it was time to reduce our production levels given our going in inventory position.
Seth Weber: That's helpful, thank you. And then just, can you give any more color on, you made a comment about some caution in the North America MP business. I am sorry if I missed how you characterize that, but is there anything else you can add as to what's driving that and how are you concerned about it, is that something we should be thinking about going into 2020? Thanks.
John Garrison: Thanks. Again as we’ve said, MP has been a great consistent performer. We really like the fact that they've got good diversification both geographically and across their portfolio of businesses. What we saw in North America, in their crushing and screening business is, we’ve seen dealer inventory and again this isn't really a stocking level like a yellow iron dealer. They bring inventory in and it usually goes out on rent. The good news is, we're seeing high rent and high utilization, but we haven't necessarily seen the conversion from rental to purchase. So that's what we'll be watching here in the last six months or the last five months or so of the year is, what happens to the dealer inventory converting from the rental fleet into a sale. Overall market is still strong being driven by aggregate consumption and construction spending. We did see some modification or some hesitation in Europe as well, not that dissimilar to AWP given what's going on in the European continent. But again, offsetting that is the adoption in areas like India. Now that the election is over in India that's become a very important market for overall MP business and we have seen good growth there. And then finally, material handlers is in that segment and we've seen really strong growth in material handlers over the course of the last year or so and they continue to execute well. What we will watch there is material handlers scrap. Steel pricing will have an impact on that demand, so that would be something we're watching closely. But overall, we believe the MP material handle market looks good. I discussed strengthening environmental and then finally our concrete mixer business in the U.S. is relatively stable. So again, overall consistent performance and 9% growth year-to-date, we increased the sales forecast slightly for the full year based on the strong first half performance, but we're watching it and again good strong underlying demand but there's things that we're watching closely to see what that leads to future demand. But again, they execute well and if there are opportunities in the marketplace, we'll be able to take advantage of them.
Seth Weber: Thank you very much. I appreciate the comments.
John Garrison: Thanks Seth.
Operator: Our next question comes from the line of Courtney Yakavonis from Morgan Stanley. Your line is open.
Courtney Yakavonis: Thanks for the question. I guess, I just wanted to understand kind of how your thought process progressed through the quarter and when it was that you decided to make the reduction in production, was it something you saw early in the quarter or was it really a pretty significant drop-off in June and maybe just how we should be thinking about orders trending quarter to-date in July? And then secondly, how we should be thinking about pricing in this increasingly more cautious environment given that you were expecting to roll in some pretty significant pricing this year? Thanks.
John Garrison: Thanks Courtney, a couple questions here. I'm not sure I got them all, but if I don't you guys jump in. So on the first one, we have a monthly SNOP or SIOP process and as we got into the quarter seeing what our demand forecast look like given our existing levels of inventory that's when the team made the decision. It was time to reduce our production levels for the remainder of the year. So it's a month-to-month process that we review looking at our demand and supply balance and forecast and they made the call. I would say pretty much in the middle of the quarter is when the decision was made. Overall pricing, pricing in the marketplace is competitive. We are getting positive price in the year. Price is offsetting for the most part. Material cost increases. We're being very disciplined around our pricing with our commercial excellence and also around that also feeds into our inventory and inventory levels. We don't want to be in a position with more inventory than we need because that's a negative on overall pricing. So I think pricing in the marketplace is holding and we are seeing positive year-over-year price that began as was set along it's designed to help offset material cost increases that was experienced here last couple of years. Did I get all your questions there Courtney?
Courtney Yakavonis: Yes. Sorry, I just had one more. Just on Terex Utilities, is that also a segment where you're seeing some caution right now and are you reducing production there or should we expect that to be relatively in line with your expectations this year?
John Garrison: Thank you, Courtney. No, Terex Utilities really having a good year. They're in line with expectations. We're not seeing given the electric grid and the needs in the electric grid in North America, some good international sales. So I would say utilities performing in line with expectations, no changes to that environment. And as we've indicated, it's about 400 million so it's about 15% of our AWP segment. Operating margins about 9% to 10% and it's consistent and the other thing about aerials, I'm sorry, utilities is that 400 million, it's about 100 million plus or minus a quarter. So it's pretty consistent through the year, it doesn't have the same seasonality factors that the aerial business does. So again, the team is executing their strategies around new product development. We're working hard on the new manufacturing facility. That's going to help us significantly simplify the rights and manufacturing productivity and give us some incremental capacity that we need going forward. So no, I would say utilities in line with expectations.
Courtney Yakavonis: I'm sorry I think I also just ask if you have any quarter-to-date trends on orders?
John Garrison: No. We haven't commented on quarter-to-date trends on orders.
Courtney Yakavonis: Thank you.
Operator: Our final question today will come from the line of Jerry Revich from Goldman Sachs. Your line is open.
Jerry Revich: Yes. Good morning, everyone.
John Garrison: Good morning, Jerry.
Jerry Revich: You folks have been really focused on making sure you can scale production up and down with the cycles. Can you talk about where capacity utilization stands today in terms of number of shifts you folks are running in overtime and if in the aerial platform demand is weaker in North America from here? What should we look for in terms of your ability to manage costs on a production cut, if we need a greater one for North America?
John Garrison: Thanks Jerry. So overall, I would say right now most of our assembly operations are operating on single shift. There are a couple of exceptions. Some of the back shops paint in some cases is running on multiple shifts. So we do have capacity. AWP has historically dealt with seasonal productional swings and the ups and downs. So we'll continue to focus on the ability to execute production volume changes and doing it efficiently. So we have capacity and again most of the issues that we're talking about now really are North American plant or European plants and our major facility in China. China is actually operating closer to two shifts. So it really is the issues that we're talking about are in the North American plan.
John Sheehan: And greater than 80% of our cost of goods sold is variable and so when there is a reduction in demand we can take the cost structure out and the AWP operational team knows how to do that. So we would in a reducing or declining production environment AWP operations will take cost out.
John Garrison: And again Jerry, I just want to reiterate for subsequent years execution of the strategic sourcing is important to drive margin improvement.
Jerry Revich: And then, we have heard very good things about your product performance in China and your margin profile in China compared to the rest of the aerial platform business. Can you just talk about what order cadence has been like in that part of the business and are you considering plans for expansion, I believe, the entire industry is approaching full capacity utilization in China specifically?
John Garrison: Yes. So we have seen good order rates, good strong demand for China. China itself, Asia-Pacific region, it’s become a more important manufacturing site for us globally in China and I will be over there in the first week of September. We are making an investment to expand our production capacity in China both for AWP, our Utilities business and we believe there is going to be an opportunity to create a mobile MP business in China that virtually right now, we don't have much of anything but we are starting to see the mobile MP side of the adaption equation start to pick up in China. So we believe that that's a potential good trend for us longer term. So yes, China is important to us as a production site for global production for the Chinese market and we are planning an expansion in China.
Jerry Revich: And are you willing to comment the order of magnitude of the expansion John?
John Garrison: From a CapEx standpoint, I would say, I’ll hold it up for right now. We haven't finalized the approval of it Jerry. So let me hold up on that.
John Sheehan: In terms of square footage increase though, it is a really significant increase in our manufacturing capacity.
John Garrison: Right. I just don't want to say CapEx Jerry, so we sign off things. Don't want to put myself on the negative negotiating position.
Jerry Revich: I appreciate that. Thank you.
Operator: I will now turn the call back over to John Garrison for closing remarks.
John Garrison: Again, thank you for your interest in Terex. If you have any additional questions please follow-up with Brian. Again, thank you.
Operator: Thank you. This concludes today's conference call. You may now disconnect.